Operator: Welcome to LoopNet’s earning conference call for the second quarter 2008.  (Operator Instructions) I would now like to turn the call over to Erica Mannion, Investor Relations for LoopNet.
Erica Mannion: Thank you for joining us to discuss LoopNet's financial and operating results.  With me today are Rich Boyle, Chief Executive Officer and Chairman, and Brent Stumme, Chief Financial Officer.  Today Rich will begin with an overview of the business and overall corporate strategy continued by a summary of the company's second quarter performance and review of the marketplace.  Brent will review the second quarter financial results and provide third quarter and fiscal year 2008 guidance. Before I turn the call over to Rich Boyle I would like to mention that the company will present at the Pacific Crest Technology Leadership Forum in Vail, Colorado on August 4th.  The presentation will be available via webcast on LoopNet’s website. I would like to bring the following to your attention.  On the call today you may hear forward-looking statements about events and circumstances that have not yet occurred.  Actual outcomes and results may differ materially from the expectations contained in these statements due to a number of risks and uncertainties.  Please refer to the company's recent SEC filings at the SEC's website at www.SEC.gov for detailed discussions of the relevant risks and uncertainties.  The company undertakes no responsibility to update the information in this conference call under any circumstance.  The press release distributed today that announced the company's results is available on the company's website at www.LoopNet.com in the Investor Relations section under Financial Press Releases.  The current Report on Form 8-K furnished with respect to our press release is available on the company's website in the Investor Relations section under SEC filings and on the SEC's website. Now I will turn the call over to Rich Boyle, Chief Executive Officer and Chairman.
Richard J. Boyle: First let me welcome you all to the LoopNet second quarter 2008 earnings call.  I’ll start today by discussing our second quarter performance including our perspective on the current market conditions in the commercial real estate industry that we serve and how they’re impacting our business.  I will also provide an update on some of the strategic business initiatives we have under way as well as a few other topics.  Then I’ll hand the call over to Brent Stumme, our Chief Financial Officer, to take you through our financial performance in greater detail and our guidance. First let me say a few words about the second quarter.  Overall we had a very solid quarter despite commercial real estate market conditions that continue to be quite poor.  Our revenues increased 29% on a year-over-year basis and profitability remained strong with adjusted EBITDA margins of 47%.  Clearly we continue to demonstrate the strength of our business model even in this tough commercial real estate market.  Those conditions in the commercial real estate market have been largely consistent with our expectations.  As we have discussed since we reported our Q3 2007 results the market for investment properties has slowed dramatically driven primarily by the disruptions in the credit markets that began last year. The lack of available credit has continued to impact the level of demand side activity in the industry meaning fewer buyers are looking to buy buildings and those that are looking are seeking reduced prices.  Sellers, on the other hand, have either not reduced prices much or are simply waiting for more favorable market conditions and not offering their properties for sale at all.  The net result of this continues much as in the first quarter, transaction volumes that are below normal rates.  Real Capital Analytics reports that sale transaction volumes for the major asset types of office, industrial, retail and multi-family properties are down 61% based on comparing the first half of 2008 to the same period of 2007 with Q2 coming in below Q1. On the leasing side of the industry there has been some softening as well though it has been more gradual and more specific to certain segments and geographies.  Retail demand continues to be the weakest overall but the office sector is showing some weakness also though the activity varies greatly according to local market conditions.  As we look out through the end of 2008 we continue to believe that these conditions are going to affect industry activity levels. While these macro conditions and cyclicality are impacting the industry we remain focused on serving our customers and growing the overall activity on our marketplace.  We continued to make good progress in that regard during the quarter.  We are very pleased to announce that we recently passed 3 million registered members and we believe that this community of commercial real estate transaction participants is an important asset of the company.  To be clear we ended the second quarter with just under 3 million at 2.96 million.  We just passed the 3 million mark recently and you’ll see a separate announcement about that soon. On the supply side of our marketplace we ended Q2 with just over 623,000 active commercial real estate listings which represents 20% growth versus the same period last year.  Searchers on our marketplace generated over 43 million profiled use during the second quarter.  This demand site activity is we believe the area being impacted the most by current industry conditions but this number still represents approximately 11% growth on a year-over-year basis.  Website traffic measurement provider comScore reported that we averaged 870,000 unique visitors per month to the www.LoopNet.com website during the quarter.  The ongoing growth in activities on our marketplace also translated to ongoing growth in monetization.  The patterns were consistent with recent market conditions and with our expectations.  We saw strong growth in the monetization on the marketing side of the system and some challenging conditions on the searching side specifically from buyers looking for investment properties where activity continues to be weak. The premium membership product overall accounted for 74% of revenues during the quarter and that revenue split out to approximately 57% which came from brokers marketing properties and 43% from users paying to search for listings information.  On the marketing side we continue to be very pleased with the rollout of our new pricing model for premium membership as well as the optional listing marketing tools that we have made available to our members such as the newspaper distribution network that we deployed after the Cityfeet acquisition.  We continue to believe that brokers marketing listings in this environment are increasingly realizing the effectiveness and economic efficiency of online marketing in general and our platform specifically and we are benefiting from this ongoing shift into the online world. The searching component of the product continues to face challenging conditions due to the macro environment specifically the credit crunch and the general concerns about the state of the economy.  We have continued to see slower sales and an elevated cancellation rate in this segment as we have since Q3 of 2007.  Combining the strong marketing growth with the challenges on the searching side the overall premium membership product revenue grew 22% on a year-over-year basis.  We ended Q2 with a over 86,000 premium subscribers which is down slightly from this time last year.  The overall cancellation rate for the product continues to be within the elevated range we expected this year of between 4.5% and 6.5%. We believe the primary driver of this increased cancellation rate continues to be the market conditions we are facing.  We continue to see that the highest cancellation rate by far is amongst the paid searchers.  Our services other than premium membership accounted for the remaining 26% of revenues during the quarter and performed overall as expected.  The REApplications business which we acquired in April has been performing as expected.  We are very happy with the team of people there, it’s a great team and a great fit with LoopNet, our culture and our mutual focus on trying to help our customers.  We’re in the early stages of integrating the businesses who is very excited about the increased value we believe the combination will provide to our customers over time. Next, I wanted to discuss briefly a small acquisition we announced today, LandAndFarm.com.  the acquisition was quit small in financial terms and it is not expected to have a material impact on our 2008 financial results.  From a strategic point of view we view the LandAndFarm website as an attractive asset largely due to the organic search traffic that it enjoys.  You can think of it as a vertical search site that is specific to the land and agricultural segment of the real estate industry.  According to third part traffic measurement provider comScore the business currently attracts approximately 100,000 unique visitors per month.  We have a substantial supply of land for sale listings on LoopNet and we think that by marrying that supply with the demand site activity that LandAndFarm has aggregated we can continue to grow that segment and provide value to those brokers listing land for sale on LoopNet. On our last call we discussed the ongoing progress being made by our partner, Excelagent, in expanding their business.  They have recently announced their rollout into some additional new markets such as Madison, Wisconsin and Albuquerque, New Mexico and they have solid momentum coming into the back half of the year.  We believe they provide an attractive alternative to other information service providers offering research based commercial real estate data at very competitive prices.  We expect they will be continuing to capture additional new markets in the coming months.  Our long term goals with them remains the same which is to work towards an integration of their research efforts with the LoopNet marketplace to expand the available supplies listing on www.LoopNet.com. Now I would like to spend just a few minutes addressing the ongoing litigation with CoStar Group.  Over the past year LoopNet has had to take legal action against CoStar to stop CoStar from its unlawful efforts to build its business on the back of LoopNet and its members.  Last year LoopNet filed a lawsuit to stop CoStar from its unlawful scheme of copying and using LoopNet listing information for its competitive listing service.  More recently LoopNet has had to take legal action to stop a CoStar false advertising campaign against LoopNet.  During the course of these litigation proceedings it has been LoopNet’s policy to refrain from public comment about the cases other than to provide information about the litigation in its periodic filings with the Securities and Exchange Commission and to instead seek to enforce its rights in the courtroom.  At the same time, however, CoStar has chosen to litigate in the press the cases whether through press releases, supposed news items and/or public statements in which CoStar gives its spin on the litigation proceedings and uses them as a platform to disparage LoopNet. While we do not agree with these tactics they have prompted some requests from LoopNet investors about our view on CoStar’s statements.  In an effort to respond to such statements in a forum for all of its stockholders LoopNet has provided a written update about the litigation matters in a Form 8-K filed with the SEC earlier today.  For further details about the proceedings LoopNet has also posted a number of the public filings related to the litigation at www.LoopNet.com /Litigation. In conclusion Q2 was another quarter of solid performance for our company.  We achieved nearly 30% year-over-year revenue growth and strong margins in a challenging economic environment.  We are very proud of that performance which we believe continues to demonstrate the power of the business model that we have.  We also continue to invest in our marketplace and related services laying the foundation for additional future growth in our business.  We look forward to the second half of 2008 and continuing to build our marketplace and providing value to our customers but we are not expecting any improvement in the overall market conditions at this time.  We do expect to continue to execute well and believe that we are well positioned to continue to capture the very large long term opportunity in our space. Lastly I’d like to thank all of our employees for their ongoing hard work and dedication in serving our customers.  And now Brent Stumme, our Chief Financial Officer, will take us through the quarter’s financial results.
Brent Stumme: LoopNet’s revenue for the second quarter of 2008 was $22 million an increase of 29% from $17 million in the second quarter of 2007.  The increase was due to higher average monthly prices for premium membership and continued growth of our non-premium membership products.  On a year-over-year basis we experienced a 21% increase in the average monthly price of premium membership resulting in an average monthly price of $62.13.  This increase was primarily the result of the shift to a volume based pricing structure for listers which we began to implement during Q3 of 2007.  LoopNet’s adjusted EBITDA for the quarter was $10.4 million or 47.3% of revenues an increase of 26% from $8.2 million in the second quarter of 2007.  The company has reported adjusted EBITDA which we define as EBITDA excluding stock-based compensation and litigation related costs because management uses it to monitor and assess the company’s performance and believes it is helpful to investors in understanding the company’s business. GAAP net income for the second quarter of 2008 was $4.5 million or $0.12 per diluted share compared to $5.1 million or $0.13 per diluted share in the second quarter of 2007.  Non-GAAP net income which we define as net income before stock-based compensation and litigation related costs for the second quarter of 2008 was $6.1 million or $0.16 per diluted share compared to $5.6 million or $0.14 per diluted share in the second quarter of 2007.  The effective tax rate for the second quarter of 2008 was 40.9% compared to 39.8% in the second quarter of 2007.  As of June 30th, 2008 the company had $69.5 million of cash, cash equivalents and short term investments and no debt. Since the initial announcement of the stock repurchase program on February 5th, 2008 the company has repurchased 3,547,130 shares of its common stock for $41.6 million which represents 9.9% of shares outstanding.  LoopNet also announced today that the company’s Board of Directors authorized the repurchase of up to an additional $50 million of the company's common stock.  This is in addition to the $50 million share repurchase program previously authorized by the Board of which $8.4 million remains to be expended. Now I would like to review some of our key operating  metrics.  The number of registered members which includes both basic and premium members grew to 2,956,556 during the second quarter of 2008 a 33% increase over the second quarter of 2007.  The number of premium members as of the end of the second quarter of 2008 was 86,627 a 2% decline from the second quarter of 2007.  The number of profiled views of listings on the LoopNet marketplace during the current quarter were 43.2 million an 11% increase over the second quarter of 2007.  Average monthly unique visitors on the LoopNet marketplace were approximately 870,000 an 8% decline over the second quarter of 2007.  As of June 30th, 2008 the LoopNet online marketplace contained approximately 623,000 listings a 20% increase compared to June 30th, 2007.  It is why sales contained approximately $52,000 of operating businesses for sale a 9% compared to June 30th, 2007. That brings me to our business outlook.  For the full year of 2008 the company is reaffirming its previous revenue guidance of $86.3 million to $88.3 million although given the current market conditions in the commercial real estate industry the company expects revenue to be in the lower end of this range.  The company expects adjusted EBITDA for the full year of 2008 to be in the range of $38.2 million to $39.2 million and non-GAAP net income to be in the range of $0.58 to $0.60 per diluted share assuming an effective tax rate of approximately 41.1%.  The company expects revenue for the quarter ending September 30th, 2008 to be in the range of $21.8 million to $22 million, adjusted EBITDA to be in the range of $9.5 million to $9.7 million and non-GAAP net income to be in the range of $0.14 to $0.15 per diluted share assuming an effective tax rate of approximately 41.1%. The company expects stock-based compensation to be in the range of $0.10 to $0.11 per share net of tax benefit for the full year of 2008 and $0.03 per share net of tax benefit for the quarter ending September 30th, 2008.  The adjusted EBITDA and the non-GAAP net income guidance for the full year of 2008 and quarter ending September 30th, 2008 excludes litigation related costs. Thank you for joining us today and I will now open the call up for questions.
Operator: (Operator Instructions)  Our first question comes from Jim Wilson – JMP Securities.
Jim Wilson: Can you give a little color on, just trying to think through revenue per customer, any other metric tat would give us some idea about what brokers are spending or how their spending habits are changing or if they’re changing given the market conditions?
Richard J. Boyle: I guess the way I would describe it, it really depends on the segment overall meaning specifically I would probably break it up initially to a couple of different groups, people that are traditionally coming on buy side representation engagements.  So if you’re working on behalf of an investor looking to buy a building, that to us gets lumped in with the same behaviors of the investors themselves which are paying to use LoopNet and specifically that performance is very weak.  On the other hand agents that are coming from the marketing side I think are increasingly looking to the online world as a better marketing venue and we’re seeing spend from that segment has been growing strongly on our platform, both in terms of number of listings and the average revenue per.  We’re pretty pleased with the behavior there.  The third segment though I would say if you look at the broker population overall I think given the challenging conditions right now, in particular I think there’s some firms that have trunk staff and new brokers breaking into the business right now I think are having a very hard time.  The total population of growth is probably flat to down slightly right now.  Those would have I think three very different behaviors in the industry overall and reflected on our platform.  But if you look at the average revenue per customer particularly in the marketing segment it would be a positive trend for us.
Jim Wilson: Maybe just looking at it the same way as far as renewal rates and turnover rates, by customer type have they changed or how significantly different are they?
Richard J. Boyle: They haven’t really changed much.  They’re right in the range that we had expected at the beginning of this year so they’ve changed from our long term norm if you go back before the credit crunch hit last year, the long term norm of 3% to 5%, still is elevated in the 4.5% to 6.5% range that we talked about for this year.  We’re absolutely still seeing that.  The largest component of the overall cancellation continues to be these transactional users that use us for one deal but where we’ve seen the elevated cancellation rate is primarily on the searching side, people looking for investment properties to buy that are just simply dropping out of the market right now because they’re not interested.  We have seen a very small elevation on the marketing side.  I think it’s primarily due to some amount of shrinkage of brokers that are active in the industry and a little bit of a defect that’s pretty minor from the pricing models [inaudible].
Operator: Our next question comes from Mitchell Bartlett – Craig-Hallum Capital Group LLC.
Mitchell Bartlett: Maybe just expanding on that last point, could you detail the churn specific to, I know you don’t break these out, but specific to the lister and searcher site I’m going to ask the question anyway, as it maybe looks from Q1 going into Q2 both sides are up.  You said that the marketing side was up and I think it was up in the first quarter as well, does it look basically the same between the two quarters?
Richard J. Boyle: It really hasn’t changed much.  It does bounce around a little bit month to month since there’s some seasonality in our business but the patterns are entirely consistent and the majority of the increase in cancellations is absolutely coming on the searching side.  There’s a relatively small increase that’s been on the marketing side.
Mitchell Bartlett: So lister revenue is up but you can’t say the same about the total subscriptions.  Is that fair to say?
Richard J. Boyle: Yes, we don’t break it out in details.  The increase in revenue on the marketing side overall as a function of both price and subscriptions together has been a very strong grow.
Mitchell Bartlett: On G&A expense, if I just hit that with the litigation expense that you detail it looked like a tremendous cost savings or performance.  What are you doing on costs on headcounts, etc. in the organization to keep that number as low as it is?
Brent Stumme: When I look at G&A it was pretty much in line if you back out the litigation expense to Q1, it was about 15% of revenue, basically in line.  We hired a few people in order to handle some of the SOX related stuff and that sort of thing but it’s pretty much in line with Q1.
Mitchell Bartlett: Last question about REApplications, you said it performed pretty much in line.  Can you detail anything more about the revenue and the performance than that?
Richard J. Boyle: I think when we initially acquired it back in April we had said we expected it to add just a little bit over $2 million in revenue.
Brent Stumme: Yes, $2 million for the year and they’re tracking reasonably well against that.
Operator: Our next question comes from Derek Brown – Cantor Fitzgerald & Co.
Derek Brown: Two questions, the first is with respect to profile listing use.  They increased about 11% year-over-year as you indicated and that’s obviously a pretty positive metric given your comments about the overall industry and churn within the buyer demographic of your site, how do you reconcile those two elements?  The other question is from a macro perspective, the linearity of I guess of how the industry has performed as the quarter progressed and do you feel from a broad perspective how close do you think we are to the end of this cycle or are we just at the very, very, very beginning of it?
Richard J. Boyle: On the profile use metric I guess certainly we’re pleased to see it up 10%.  That said it’s growing less quickly than for example the supply side of the marketplace is right now.  We think it’s reflective of these headwinds on the searching side.  I will say if you look at the profile view metric, some of that is coming from people on the leasing side of our system and that segment of the industry I think while starting to soften has not slowed down anywhere near as much as the investment sales side has.  There’s a few factors and I guess we’re pleased to see it growing given the challenging conditions.  The fact that it’s growth rate is lagging the rest of the overall marketplace we think is indicative of the industry conditions.  It’s something that we clearly would love to see it growing more quickly but we’re not displeased by maintaining growth at all in the current investment sales side in particular current investment market. I think it’s kind of a mixed message frankly on the profiled use and where we do feel very comfortable is that if you look at the leads that we deliver on the properties that are marketed on LoopNet we still feel we’re way above the bar in terms of the value proposition and we think in terms of the cycle we’re in right now one thing that’s true is that the relative value of a lead in this market right now is probably going up because of the challenging marketing conditions.  It’s not as good as we would like but we’re reasonably pleased with the overall result there.  In terms of the long term cycle, I wish I could say what I guess we firmly believe is that the market is not going to get better during the course of 2008.  We believe at this point that conditions are no better than they were at the beginning of the year.  In fact the Real Capital Analytic’s report for example showed that Q2 invested sales transaction volume was actually down from Q1. Now there was a little bit of lumpiness there, June actually looked a little bit better than April and May, but I don’t think we feel like we can draw a trend line off one reasonably positive month in June.  The market conditions that we saw in Q2 were slightly worse than in Q1 in fact and we see no reason at this point to expect them to get better this year.  I think we’re at least looking out into sometime in 09 before they start to turn around.
Operator: Our next question comes from [Richard Deever – SunTrust Robinson Humphrey].
[Richard Deever: Quick question regarding pricing, been able to march along with the premium pricing in the mid-single digits sequentially for some time now.  How much longer can that run and where do you see that pricing stabilizing?
Richard J. Boyle: I think in the very long term sense we look at it in terms of what brokers are spending to market their properties overall including in the offline world and we think the amount of money they spend to market properties in the offline world is still substantially higher than the online world.  Our view is that that’s still migrating online and our ability to continue to capture a larger share of that total marketing spend still has a very long way to go.  That said, our policy in the past has been when we make a pricing model change it takes us a full year to propagate that through and then we take stock of where we are and think about where we want to go next.  The pricing model change that we made in Q4 of last year is still being rolled through our existing user base.  At this point we don’t have any specific timeframe in mind for when any additional changes might be made.
[Richard Deever: In terms of how the membership adoption of that, would that be pretty consistent each quarter or is it going to stabilize sometime in the third quarter or should we look at that happening at the end of the year?
Richard J. Boyle: If you think about when the existing customer base sees the new pricing schedule, I think it’s in the fourth quarter that we really start to lap what we did last year.  The change effectively went live last year in October and so it’ll be October of this year that we have really lapped close to those existing customers.
[Richard Deever: In terms of guidance coming off this quarter which was really solid, 47.5% guidance looks either conservative or light I guess depending on one’s perspective.  Can you talk a little bit about that?  Are you just taking a conservative stance given the macro environment?
Richard J. Boyle: I guess I think our view is that given the macro conditions right now which are frankly still quite poor we think it’s best to try to be pretty thoughtful about how we think that may manifest itself in our business.  It’s definitely impacting premium membership as we discussed primarily on the searching side but it’s also impacting some of the other products.  I think some of the non-recurring revenue items for example in our advertising line the segment of advertising dollars that used to come from commercial mortgage brokers is essentially gone.  We definitely think there’s some challenges in the environment tat are going to continue and to some degree are a little bit unpredictable and we’re trying to be thoughtful about how we factor that into our guidance.
[Richard Deever: In terms of the litigation, is this million one million number a good run rate or should we see that accelerating based on the ongoing litigation?
Richard J. Boyle: It’s unfortunately very unpredictable which is why feel like it’s just simply not something that we can very effectively guide to and the timing and the pace and the relative intensity at which the different legal events take place is frankly largely out of our control.  So it’s a challenging thing for us to be able to forecast and it’s clearly an unfortunate way for us to have to spend time and shareholders’ money but given the circumstances we feel like it’s the right thing to do for the long term.
Operator: Our next question is a follow up question from Mitchell Bartlett – Craig-Hallum Capital Group LLC.
Mitchell Bartlett: I was just hoping you could help us think through, so you spent close to $40 million in the first quarter and then just spent a little bit more in the second and then come back with another $50 million.  What was the thinking on the buy back during that time?  Why not complete the $50 million if you were headed towards another $50 million shortly thereafter and where are you at on that whole thought process?
Richard J. Boyle: It’s just a function of I think ongoing looking at different alternatives that we think we can seek to use our cash that would be in the shareholder value over the long term.  During Q1 we executed I think about.
Brent Stumme: $39 million.
Richard J. Boyle: $39 million of the buy back.  We did a little bit more of that in Q2.
Brent Stumme: It was actually Q3.  Q3 we did a little bit more, Q2 we didn’t do anything.
Richard J. Boyle: So none in Q1, and we didn’t really do much in Q2.  We’ve done a little more of the buy back since then and frankly from our point of view and in the discussions on an ongoing basis with our Board looking at where we think we may want to deploy that capital going forward.  The additional authorization is something that gives us the flexibility to pursue that versus other uses of capital.  I think at this point we’ll look at conditions and if they develop between now and the end of the year to decide how to deploy that.
Operator: At this time I’m showing no further questions in the queue.  Ladies and gentlemen this does conclude today’s conference.  Thank you for your participation and have wonderful day.
Richard J. Boyle: Thank you everyone.